Operator: Good day and welcome to the Energous Corporation Third Quarter 2015 Earnings Call. Today’s conference is being recorded. At this time, I'd like to turn the conference over to Matt Hayden of MZ North America. Please go ahead, sir.
Matt Hayden: Thank you very much. Good morning. We like to thank everyone for joining us today for Energous Corporation's third quarter 2015 update call. Your host today will be Mr. Stephen Rizzone, President and CEO and joining him is Brian Sereda, Energous VP of Finance and CFO. The press release detailing the quarterly update crossed the wire this morning and is available at the Company's website. We can also find additional information about the Company. After Management’s prepared comments today, we will open the floor for your questions. Before we get started, I'm going to ask everyone to take note of the Safe Harbor paragraph in the press release. Any forward-looking statements that are made today whether in prepared remarks or during the Q&A session speak to the date thereof and are subject to inherent risks and uncertainties included in all of our public filings with the SEC. Except as otherwise required by federal securities laws, we disclaim any obligation or undertaking to publicly release updates or revisions to forward-looking statements and contained therein or elsewhere to reflect changes and expectations with regards to those events, conditions, and circumstances. With that all the way, I'd like to turn the floor over to you Steve.
Stephen Rizzone: Thank you, Matt, and good morning. I’d like to welcome everyone to our third quarter 2015 Company update and financial results call. I will take you through the developmental and operational highlights for the quarter before turning the call over to Brian to discuss our financial performance. I will then conclude the call with some summary comments after which we will have a Q&A session. To begin I’m very pleased to report that Energous met two key development milestones during the quarter. First as part of our joint development agreement with our Tier 1 partner, we completed a major development milestone relating to our WattUp prototypes which resulted in meaningful revenue during the quarter. Following the completion of this milestone, Energous expects to continue its collaboration with the Tier 1 strategic partner toward the end goal of incorporating the WattUp technology into one or more of their consumer electronic devices. The revenue represent a significant cash infusion which extends our operational runway and coupled with the 400,000 in recognized revenue from previous quarters means that we have met our stated 2015 revenue goals. While we were on the subject of our Tier 1 partner, we should comment that execution on specific milestones is required to continue to move the relationship forward and will ultimately determine whether our agreement extends to commercialization and the licensing phase. With each passing quarter we expect to make further progress thus minimizing risk and leading toward product launch. As a result of a continuing engineering resource requirement necessary to support our Tier 1 partner, as well as those required to support the next group of licensees we expect to have under contract shortly we will likely be increasing engineering and engineering related expenses by 10% to 15% next year with the expectations that the majority of these expenses will be offset by increases in engineering services revenue. It is important to note that included in these expenses will be the cost associated with the build-out of the infrastructure necessary to transition the company from development and customer acquisition to fulfillment in conjunction with the goal of releasing the integrated WattUp technology in consumer electronic and IoT devices consistent with the time frames we have already discussed. We remain on target to achieve these goals. The second major development milestone was the sampling of our third generation ASICs which we believe are of sufficient quality, efficiency, size and cost to meet the requirements for commercial integration. Before the end of the year we will begin the qualification process with these ASICs including all of the necessary testing required to deliver these parts to partners for actual integration into CE devices. The next major milestone for the quarter was the independent third party testing and validation of the WattUp technology which we announced yesterday in the press. As the leader in the rapidly emerging uncoupled wireless power market, we felt it was appropriate to set the bar and have the performance of our WattUp technology independently validated. To this end, we commissioned Underwriter Laboratories more commonly known as UL to conduct an independent performance evaluation of the abilities of the WattUp technology to receive power at a distance, send power simultaneously to multiple receivers and roam while charging. We were very pleased with the results as they validated and actually exceeded our expectations with respect to our longstanding WattUp specifications. For those of you who may not have seen the release, I would suggest that you review it on our website as the performance of the technology was impressive on all fronts. Here is a brief summary of the results of the amount of actual power delivered to a device at varying distances with a single WattUp transmitter. Power received at zero to five feet measured 5.55 watts compared to our targeted performance of 4 watts. Power received at five to 10 feet measured 3.74 watts compared to our targeted performance of 2 watts and power received at 10 to 15 feet measured 1.06 watts compared to our targeted performance of 1 watt. What this means is that within 15 feet of the transmitter our full featured products are expected to allow consumers to charge their WattUp enabled mobile device at about the same rate as if they were plugged into the wall. Moving to five to 10 feet, the charging rate would be equivalent to charging via the USB port in your computer and extending out 10 to 15 feet from the transmitter, the technology will charge at approximately 1% per minute. Moving on, intellectual property continues to be a cornerstone of the Company. In the third quarter, we expanded our patent filings to over 175 with the focus on our antenna technology for both transmitter and receiver. As we recently announced, Energous was also awarded six core patents which significantly advances the strength and value of our portfolio. With the goal of creating substantial barriers to competition, we have mapped out the competitive landscape and our targeting patent filings in eight choke point technology areas we believe potential competitors will likely have to traverse. We expect both filings and awards to continue in the months to come to the point where WattUp will be protected by over 200 patents in key areas that are core to our technology. Critical aspects of our solution for which patents have been filed include processing algorithms, antenna design, transmitter and receiver ASICs, software controls and optimization and hardware design. Subsequent to the third quarter we announced the sampling of the world’s first RF to DC rectifier integrated circuit that is specifically designed to be integrated into small form factor receivers like wearables and IoT devices that require 10 watts or less. The ASIC is the first of its kind and measures just three millimeters by three millimeters in size. We believe this ASIC along with the transmitter and power amp ASICs we expect to be sampling later this month, will go into qualification and will form the silicon component of our reference designs which ultimately will be incorporated into consumer electronic devices by our licensees during the coming year and beyond. I would like to touch on a few of the highlights of our new receiver IC. It supports four independent received antenna inputs allowing for cost effective scalability from low power devices like wearables all the way to higher power devices such as tablets and smartphones. It leverages our innovative receive chain technology with the smallest package enabling the next generation of ultra-small wearable devices to be designed with wire-free charging which hasn’t been possible using pad or mat-based systems. It enables a maximum input power up to 30dBm per port. It supports a 5.8 gigahertz band and improve system efficiency versus previous silicon, an increase of over 20% from Version 2. To our knowledge, and based on information received directly from our existing and potential strategic partner, no other competitor that we are aware of in the uncoupled market segment of wireless power is as far advanced as Energous on hardware, software and integrated silicon development. As we discussed last quarter, we have an excellent pipeline of partner opportunity. One of our top priorities for the fourth quarter of 2015 is to secure additional development and licensing partners who have the resources, customer base and focus to achieve meaningful market presentation – excuse me penetration, while falling outside the first to market constraints associated with our Tier 1 strategic partner agreement. We expect to announce additional agreement likely in the IoT business segment before the end of 2015 and anticipate further momentum on this front as we enter CES and move into 2016. Actual development and commercialization schedules for these new licensing partners will determined by each partners business plan and product launch cycle. Finally, we've continued to expand our technical team, adding two PhD's and four silicon engineers expanding our technical staff to 45. Given our expanded focus to support both our key strategic partner and new licensees, we plan to continue growing our technical staff in critical areas like antenna technology, silicon development, hardware and algorithm. We will likely head into 2016 with 64 employees of which 46 will be an engineering and engineering related services I'd now like to turn the call over the Brian, our CFO and Vice President of Finance, who will provide additional details on our financial performance for the quarter. Brian?
Brian Sereda: Thanks, Steve. As you saw at the open of market today we issued a press release announcing our operating and financial results for our third quarter ended September 30, 2015. As Steve highlighted earlier from our first customer in the third quarter, we recognized engineering services revenue of $2.1 million compared to approximately $0.2 million in the second quarter. $0.1 million was recognized from deferred revenue and the balance of $2 million from successful completion of milestone and deliverables in the third quarter. Our third quarter GAAP operating expenses were $7.7 million, an increase approximately $1.3 million over the $6.4 million of operating expenses in Q2, which generated net GAAP operating loss for the third quarter of approximately $5.6 million. Net of minor interest income for the quarter, our net GAAP loss Q3 was the same or $5.6 million which equates to a loss of $0.43 per share on approximately 13 million weighted average shares outstanding. This was approximately 0.5 or $0.05 per share better than our Q2 net GAAP loss of $6.1 million and per share loss of $0.48 per share. Q3 marks the second quarter of sequential operating improvement with increasing revenues offsetting a lower increase in expenses in the third quarter. On a non-GAAP or adjusted EBITDA, our operating loss for the third quarter was $3.9 million versus $4.8 million in the prior quarter. This excludes approximately $1.7 million of stock based compensation, depreciation, and amortization expense. We believe adjusted or non-GAAP EBITDA provides a useful picture to investors when used in conjunction with GAAP information, by providing a more focused measure of operating results. Let me now provide some more detail on our operating expenses. As I mentioned for the third quarter our GAAP operating expense totaled $7.7 million, excluding approximately $0.2 million in depreciation and amortization and $1.5 million in stock based compensation expenses, totaling $1.7 million. Our non-GAAP operating expenses for the third quarter was approximately $6 million compared to non-GAAP operating expenses in Q2 of $5 million. Non-GAAP R&D expense in Q3 was 0.9 million higher at $4 million compared to $3.1 million in Q2. The increase over the prior quarter was primarily driven by headcount cost and added third party chip development cost related to our R&D and product roadmap milestones. Non-GAAP sales and marketing expense, along with G&A expense was relatively flat compared to the second quarter at $0.5 million and $1.4 million respectively. We continue to rely on operating cost and invest in key R&D projects that will produce tangible results and of the objective of commercialization of our technology. Turning now to the balance sheet, we ended September 30th, 2015 with $15.5 million in cash and cash equivalents with no debt outstanding, a decrease of $5 million over the second quarter. It is important to note, that the timing of the various third party chip development cost can cause our cash burn rate to fluctuate on a quarter-over-quarter basis. The only cash balances at September 30, also does not reflect a cash associated with the revenue recognized in the third quarter. We ended the quarter with $2 million in accounts receivable which was collected earlier in this fiscal quarter. With our existing cash on hand and expected revenue generation from current perspective customer opportunities, we are forecasting having sufficient working capital carries now into the fourth quarter of 2016. I'll turn it now back to Steve for his closing remarks.
Stephen Rizzone: Thanks, Brian. Before wrapping it up, I want to mention that we will be attending ROTH Capital's Technology Corporate Access Day in New York City on November 18. If you will be attendance we would look forward to the opportunity to meet with you assuming time allows. We also be attending the CES Show in January, although on a much scale than last year. The 2015 CES Show was a very successful coming out party for Energous and towards our technology. The 2016 show will showcase our development progress on all fronts, including, hardware, software and silicon and we'll provide first hand demonstrations that will validate our performance capability. We also have some very special announcement that will be held until the event. So we hope that many of you can visit our suite which again will be at the Hard Rock Cafe. Brian and I will be in several cities on both coasts over the next six months for conferences and non-deal road shows and we'll likely be making another international trip. So please contact us if there is interest in meeting with management. In summary, the company is executing across all disciplines. Our progress is measurable and consistent. Our technology has been independently validated. And our focus now is on driving performance metrics higher and form factors smaller in route to mass producible cost effective, commercially viable wire free power solution. Our opportunity continues to grow and our position as the leader in our market segment continues to solidify. We intend to fully capitalize on this great opportunity with the end goal of having WattUp become as ubiquitous as Wi-Fi is today. I will now turn the conference over to the operator for any questions. Operator?
Operator: [Operator Instructions] And we'll take our first question from David Williams with Drexel Hamilton.
David Williams: Good morning, guys. Thanks for taking the questions and congrats on the progress in the quarter. My first question was really about the OpEx, you gave some good indication that you're expecting maybe 10% to 15% increase in R&D next year and that’s mostly supposed to be a offset by increased developmental cost, or excuse me, revenue. Should we think about the revenue trajectory maybe nearly as maybe that $1 million to $1.5 of a quarter or maybe – how should we think about the revenue run rate from here?
Brian Sereda: Yes. As we've guided in the past, it will be primarily engineering services revenue, again in 2016 we've guided in the mid to high single digits. It could potential be lumpy and it all depends on the achievements of certain milestones with various customers and timing of cash payments and so forth. So it won't necessarily be linear, but we are still standing by our original guidance.
David Williams: Great. It’s not like you're adding quite a bit of bandwidth to help out with the developmental cost of the Tier 1, how are you seeing the, I guess, the landscape today for talent? Are you able to bring in the engineers that you need quickly enough and can you address all the markets that you are trying to develop into now?
Stephen Rizzone: Well, of course we are an engineering company and so the core of our team is engineering based. I think we've been very fortunate in our ability to attract very, very top talent across a number of different disciplines. We are – we're very strong now in silicon, in algorithms and in hardware and software. We are looking to expand our engineering services group to include now application engineering because as I mentioned earlier, the company is transitioning. Our development objectives and our customer acquisition objectives are set. We are now focused on transitioning the company into more of a fulfillment footing, getting ready to deliver millions of chips to our licensees in the coming months and years as well as expanding our applications engineering group to work directly with our licensees as we continue to expand those under contract to integrate our technology with their consumer facing products. And so, again I think it is part of our master plan to continue to progress with the ultimate objective of shipping integrated WattUp solutions to the consumer late next year and early the following year and for that continuing to ramp from that point forward.
David Williams: Great. And last one for me. Now that you got silicon out for testing, do you have any early feedback?
Stephen Rizzone: The feedback has been very positive. I’m exceptionally pleased with our engineering and development performance. Our team is really, really cranking and the silicon - keep in mind and I keep mentioning this because I think it’s important. The Company is two years old and in two years this development team has been able to drive through three generations of silicon. Each generation with improved performance, smaller footprint, better cost performance and so we are very pleased with the results of the initial testing and as I said, there may be some minor tweaks as we get our transmitter and PA ASICs back but for the most part we think this silicon is ready to go into qualification and is going to be the silicon component of our reference designs that will go out to our licensing partners.
Operator: Our next question comes from Ilya Grozovsky with National Securities.
Q – Ilya Grozovsky: So, I just want to understand a little bit better on the revenue line. Obviously this was a significant quarter for revenue. Do you anticipate that - are there milestones in every quarter that you could if you hit, generate revenues? I know you said it would be lumpy but do you anticipate quarters when there would be no revenues again or should we see some baseline of revenues going forward from here?
Brian Sereda : Yes, the milestones are not necessarily time based. There could be some time based milestones and therefore the dollars associated with time based milestones may be different than those based on physical deliverables. Also as we gain more customers, we hope to have overlapping revenues quarter-to-quarter. So while we don’t anticipate a zero revenue quarter going forward, there will still be some lumpiness quarter-to-quarter. Does that help?
Q – Ilya Grozovsky: Yes. So it sounds like there could be quarters where there are no revenues again, right?
Brian Sereda : No, there could be and it could be something as, it could be due to revenue recognition rules, it could be timing of cash payments that are tied to acceptance. Issues like that but again given the level of activity with our first customer and anticipated activities with future customers, I’d like to think that we would be able to generate some revenue on a quarterly basis going forward.
Q – Ilya Grozovsky: Okay, great. And then if we can just go to the balance sheet for a minute. So you guys ended the quarter with $16 million in cash. What type of burn on a quarterly burn given again the lumpiness of any of the milestone payments, what quarterly burn are you guys working through?
Brian Sereda: I think from a non-GAAP OpEx standpoint you can take a look and you can see we are in the 5 million to 6 million range and we’ve been consistent in that range for the last few quarters. And as I mentioned in the script is that we expect that we will have some lumpiness in expenses because of the third party chip development cost which are not consistent quarter-to-quarter. But I think going forward we will see, as Steve mentioned, a slight increase in expenses in 2016. I think for the next quarter or two we’ll be in that $5 million to $6 million net burn rate but as we progress with our first customer, our Tier 1 customer and as we gain new customers, we are now starting to model out what we think our cash flows will look like in the next four quarters.
Q – Ilya Grozovsky: Okay, thank you.
Operator: Next question is from Marc Estigarribia with Chardan Capital Market.
Q – Marc Estigarribia: Thank you. Just on the test from UL labs, is there any color you can provide in terms of timing measurement? I know there was power measurement but was there any more color or and/or are there any other – [indiscernible] test that are on a calendar in terms of time measurement?
Brian Sereda: When you speak of time measures, specifically what are you asking?
Q – Marc Estigarribia: The time allotted to charge devices, single device, multiple device mobility within certain fees, different fees.
Brian Sereda: What we were testing was the amount of power delivered to a device at varying distances and the amount of power will determine the charge rate and the charge rate will then determine the time necessary to charge that device. And so we did not specifically test how long it will take a device with a 50% charge to get from 50% to 100% at varying distances. We tested, how much - as I said how much power was received at these respective distances and we can equate that since we know the charging rates of these devices to how long or at what rate we believe the devices will be able to charge based on the distance they are from the transmitter. And that’s what we spoke about. But we did not specifically time the device. We were looking to validate the amount of power received and then from that extrapolate the ability to charge these devices at varying distances and equate that to charging it via the wall outlet, charging it via the USB port and then as I said at the longest distance at about 1% per minute.
Q – Marc Estigarribia: Got it. Thank you. And in terms of - I know we’re talking about lumpy revenue for cash going forward but for the visibility of the next quarter, I mean the quarter we are in right now, have we accomplished any milestones within this quarter or anything expected for summer?
Brian Sereda: Well, we are already engaged on engineering front and working against it additional progress against our relationship with our Tier 1 customer. We’ve already, as Steve mentioned, we’ve already achieved our objectives for the year in terms of revenue. Again, I would expect that there will be additional revenue in the fourth quarter but we are not going to give specific – an actual dollar guidance number for the quarter.
Q – Marc Estigarribia: Great, thank you very much. Appreciate it.
Operator: [Operator Instructions] And we’ll go next to Brett Conrad with Londboard Capital.
Q – Brett Conrad: First one, to get a bit on your business model. What you guys are thinking in terms of how you are going to generate revenue on the, what you’ve been talking to your Tier 1 partner about other partner, in terms of the royalty rate or are you going to be selling chips flat to royalty rate? Just what's some color in that area as talks have progressed?
Brian Sereda: Well I think our vision has been consistent that we are initially a semiconductor company and in conjunction with that we will be selling A6 to some of our strategic partners and in addition to that we will also be generating a royalty and I think that is consistent also we're looking to integrate our device libraries in third party silicon which provides for a much more ubiquitous footprint in terms of developing the ecosystem but at the same time changes the royalty picture. And so we’re engaged on a number of funds I think in 2016 you will see engineering services revenue as the driving force behind our revenue numbers. Going into 2017 since our royalties will be performance based and our ASIC sold will actually be in conjunction with integration into third party devices that the engineering services revenue component as a percentage will be reduced and the royalties and margins associated with ASIC sales will be the bulk of the revenue in going forward. So I think our model remains the same, we look to be a licensee friendly company because we believe that this can be a ubiquitous solution and so I would not anticipate significant one time upfront royalties. I would anticipate that our royalty agreements will be based on performance and so we will derive royalties and payment for ASICs upon shipment of products and as those products begin to ship as I said late 2016 into 2017, you will expect to see royalties derived from in this manner. Does this answer your question?
Q – Brett Conrad: It does thank you. That’s great. So in terms of number of potential customers will you be selling everybody direct as I can imagine hundreds of customers or are there package people that are you will be selling to them so packages to end customers, how do you can see that breaking out?
Brian Sereda: That's very good question. I think overtime given the interest and the opportunity for the solution that we will actually licensee third parties to in turn sub license the technology and work directly with Tier 3 lower Tier 2 and opportunities. And that we will focus our attention directly on the Tier 1 higher level Tier 2 opportunities. And so we do have a model in place whereby we’ll continue for the foreseeable future to handle and to support our Tier 1 and upper Tier 2 licensees. And then as the ecosystem begins to expand that we will license and support a distribution channel if you will who are enabled and empowered to work with Tier 2 and Tier 3 licensees directly for which we will share the royalty model going forward but we do see a very, very broad opportunity to significantly expand our licensee base and as I said we want to be a ubiquitous solution and so we will continue to drive forms of expanding our licensing model through third-party relationships.
Q – Brett Conrad: Okay, great. And just one final question is, do you have an update on insiders selling at the company, I know there is some plans in place and I don’t know if you can provide any color on that?
Brian Sereda: Well, thank you for the question because quite frankly I think this is a situation where much to do is made about very little. We are asked about insider selling. In particular selling surrounding a trust - a blind trust that was established by the parents of our founder and quite frankly we had commenced about commitment of our founder and the fact that selling a percentage of the portfolio that’s in the trust reflect a lack of commitment. And Michael Leabman is my partner and I will tell you that is the farthest from the truth. Michael Leabman is one of the most committed if not be the most committed employee that we have at Energous. He is a tireless worker and many of the technical breakthroughs that we’ve had are directly attributable to him. And so suggesting that the sale of the part of the portfolio in the blind trust reflects on his commitment is absolutely inaccurate and untrue. The facts surrounding the sale are that when Michael founded the company, his shares were transferred to his parents and his parents transferred that to a blind trust that is controlled by a trustee. That trustee is undergoing a percentage sale of the fund for diversification purposes and quite frankly it’s a fractional percentage and like I said I think much more is made about it then is actually the case. It's nothing different than any kind of a controlled regular sale of equity by a major shareholder. So again it is a bit of an issue with me because the questions surrounding the commitment of our Founder and our Chief Technical Officer are unfair and unfounded and do not reflect in any way his commitment and it’s really a minor percentage selling 25,000 shares at a time against this float is really not something that should be drawing this much attention.
Q – Brett Conrad: Okay, great. Thank you. Appreciate that.
Operator: Our next question is from Lou Basenese with Disruptive Tech Research.
Lou Basenese: Congrats on the quarter and thanks for taking my questions. Just two quick ones, on the revenue side I mean the milestone payments from the Tier 1 partner have gone up the last several quarters. Is it reasonable to expect any future milestone payments of the similar size to the last one that you just received?
Brian Sereda: Yes, I think you will see similar performance going forward again as we progress the relationship and ultimately into commercialization and license revenue so yes.
Lou Basenese: Okay, great. And then the other thing in the press release you mentioned supporting the Tier 1 in the regulatory approval process. Can you just give us some general color is the partner actively engaged with regulators now or are they waiting for final product design before engaging?
Stephen Rizzone: Yes Lou, we really can’t speak to that. It is considered a key competitive advantage and very, very proprietary element of our agreement. As you can appreciate the regulatory issues is one that has loomed large since the beginning of the Company, the fact that our Tier 1 strategic partner who has undergone literally hundreds of Part 15 and Part 18 submissions and approval is taking the lead on this. As we said in the past, we believe it’s substantially derisked the whole thing. We are in a supporting role, our strategic partner is taking the lead and will do the actual submissions. And the good news for us is that as we spoken in the past, once we get our first submission which will be required before we can ship product that are WattUp enabled to the consumer, once we get our first submission all subsequent submissions by other licensees are then by reference. And so it becomes a much easier and much more straightforward and less time consuming process than the initial one. So we’re very, very fortunate to have this relationship and we’re very fortunate to have a strategic partner with the credibility size and experience that we do who is taking the lead and the responsibility and we are supporting that role. But as far as the specifics in terms of timing or stages we really can’t speak to that.
Lou Basenese: Okay. And I guess I wasn’t trying to get the timing I think maybe before the Tier 1 was engaged I think you guys had maybe some preliminary meetings and gave color to the effect of that there was no issue that were raised, just curious if that's still the case that you guys are - I don’t remember the exact quote but there is - I think it was there is no show stoppers it was the one just curious if that would still be accurate color at this point?
Brian Sereda: That's still accurate color and again relating back to our Tier 1 partner since they’ve done this hundreds of times, we do not believe that they would have taken on this - be taking on this responsibility if they did not see a clear path to approval. And so as it stands now, we do not believe they are any showstoppers relating to our regulatory approvals.
Lou Basenese: Great, thanks guys. I appreciate it.
Operator: The next question is from Brock Malky with Insight Capital.
Q – Brock Malky: Congratulations on the quarter. I just had a couple of quick questions, now that you guys have hit major milestone, you received the UL certification essentially generating some big credit bill and further derisking of the model, are you guys entertaining the possibility of a strategic investment from our current or forthcoming partners so that there isn’t a need to access the capital markets to raise additional funding?
Stephen Rizzone: Well I think we continue to assess our options, I think the good news is that as our credibility increases as our partnerships expand, as we get further down the line with the many engagements that we are involved in, I think our options increase, our board and management team look at the landscape regularly, I think we will be opportunistic in terms of funding the company going forward and as Brian said we don't think that there will be any issues or problems in extending our runway and funding the company and there are multiple ways that we can and will look to do this. And so certainly I think we –it's a bit of a turnabout but we are now considering or would consider a strategic investments with the right partner. It's very important that if we do that, that we do not alienate other partners because we want to be a ubiquitous solution. So strategic investments are possible as our other forms of financing and also our revenue keeps ramping. And so there are number of options that we’re looking at and we’ll continue to do so and make decisions on an opportunistic basis.
Q – Brock Malky: Okay, great. And maybe you could touch a little - what kind of action do you guys have away from Noble. I know that you have 19 JBAs and it seems like we focus on Noble on the Tier 1 partner, why don't you talk a little bit about what's going on ex-Noble?
Stephen Rizzone: You know that our key strategic partner has the first to market opportunity and so with that the bulk of our focus in the mobile arena is with our key strategic partner. But as I mentioned earlier, I think the market that we are most focused on now and we've got a number of tentacles that are – I will tell you that we have got a line-up of potential strategic partners that is extensive and we’re having to prioritize based on our ability to support and their ability to execute because time to market is also a very important consideration for us. But as I mentioned earlier, I think the next area that we will make announcements in is in the area of IoT which represents a tremendous opportunity for us. IoT is becoming more and more of a dominant market consideration and to support IoT you need two functions, you need Internet connectivity and you need power and Internet connectivity is the one that's getting a lot of attention but more and more companies are starting to realize that to do one without the other is really not going to afford an effective solution to the consumer. And so our visibility into IoT and the number of opportunities that we are seeing in IoT continues to expand and I think that this will be the next area where we will focus our attention.
Q – Brock Malky: Okay. All right, great. Thanks for taking the questions.
Operator: This concludes today's question-and-answer session. Steve at this time I would like to turn the conference back to you for any additional or closing remarks.
Stephen Rizzone: Well again, I want to thank you for your continued support and interest in our company. As I said I am very pleased with the progress that we have made and the execution that we continue to move forward on. We are executing on all of funds, our strategic partner relationship continues to move forward and as I said we will be able to - I think talk about additional strategic partnerships in the coming months. So again we are on target, we continue to execute, there is a great deal of enthusiasm and excitement around the company. We are building, we are moving forward and we believe that we will be a ubiquitous solution akin to Wi-Fi in the not too distance future. So thank you again, we look forward to continuing to report on our progress and we look forward to participating in the next conference call. Good day.
Operator: This concludes today’s call. Thank you for your participation.